Matthias Pfeifenberger: Good morning. A warm welcome from our side. Matthias from IR. Thank you for joining our Q3 earnings call. The call today will be held by our CEO, Dr. Joachim Schönbeck; and our CFO, Norbert Nettesheim. Please also look at the disclaimer for a second. As you can see in the agenda, we will start with the key CEO messages and the Q3 highlights, followed by the more detailed financial performance and an update on the business areas, followed again by the outlook for 2024 and the Q&A session. And it's my pleasure now to hand over to our CEO, Dr. Joachim Schönbeck.
Joachim Schönbeck: Good morning to everybody. Thank you very much for joining us in this call early morning in your time. Can we have the next slide, please? I think we had another, I would say, challenging quarter behind us, economically challenging. We believe interest rates are, however, moving in the right direction for us. None of the global crises have been solved. So they are still ongoing, some upside potential from solving those. And what you probably have not realized, in Austria, we managed the election in the last quarter with the expected outcome. But I believe the much more important election will be next week, and we are all looking forward to these results. If we look to ANDRITZ, we could see an increasing order intake in Q3 compared to the previous year. However, market conditions are still difficult. We see a solid growth in the service business, and we see high interest in the solutions industry needs for the green transition, but actually purchase order and bookings remain slow. On the revenue, we see a slight decrease in the revenue year-on-year, about 3%. On the earnings side, we have a stable EBITA and stable margin. Project execution has been very, very solid. No new surprises from external sources. So I think we managed to execute as planned. We had an improved mix with the increased share of the service, and we could establish some price increases, which definitely also helped our earnings. The margin remained stable, and we had to put out some additional provisions for capacity adjustments as we do not believe that there will be a quick recovery across all regions and industries. Net income is slightly lower, but the net income margin is rather stable. Go to the -- so I think we don't need to repeat. The project activity is picking up, high interest for the green technologies, and we continue the growth in the service. And we definitely still work a lot out of a large existing order backlog. We will -- or we are adjusting our guidance for the year '24. We see a slightly decreasing revenue. It was stable guided previously. However, the profitability remains stable as previously guided. So if we look to the third quarter, we had an order intake EUR 1.9 billion. This was 6% up from Q3 '23. However, still 5% below the revenue. Revenue is down 3% at EUR 2 billion. Order backlog also decreased slightly year-on-year by 9%. EBITA, as I said, EUR 174 million, stable with year-on-year. Same is true for the EBITA margin with 8.5%. And EUR 118 million net income, 5.8%. That's a stable margin and slight decrease in net income compared to the previous quarter. Quick look at year-to-date 9. The first 3 quarters, order intake EUR 5.7 billion. That's down 12% from previous year. However, it's 5% below the revenue at EUR 6 billion, which is down 3% compared to the previous year. EBITA year-to-date at EUR 507 million, basically flat compared to last year. EBITA margin slightly up to 8.4% compared with 8.2% in the 3 quarters of last year. Net income flat at EUR 342 million, 5.7% margin, slightly up compared with last year. So looking a bit more detail into the order intake Q3. Definitely what stands out is a strong increase in Metals with EUR 634 million order intake and also Hydropower with EUR 474 million EUR 447 million. Pulp & Paper, significantly down, almost 20%, to EUR 483 million, and also Environment & Energy is down at EUR 340 million almost. That's a rough EUR 100 million down, and that's the large Green Hydrogen order that we booked in Q3 last year that is missing. If you look for Environment & Energy on the -- for the Q1 to Q3, we are still 13% up. So we can see solid growth, but that's the only business area at the moment where we see that growth compared to last year. All other, Pulp & Paper, Metals, Hydro are significantly down compared with the previous year. And that what brings order intake in total to EUR 5.7 billion, 12% down from last year. The ratio by region shifted a bit from emerging markets to Europe and North America, which now constitute for almost 60% of the total order intake. In revenue, we see a slight decline, and the decline is clearly driven by Pulp & Paper. You can see in Q3 as well as in the first 3 quarters, significantly down in Pulp & Paper, 10% and 9%, respectively. Environment & Energy is nicely growing in Q3 as well as in the first 3 quarters. Metals remains flat. And Hydropower is slightly declining in revenue, but that is more project-related revenue distribution rather than a weakness in the market because we still see -- in Hydropower, we see quite a good market. Service is 40%, capital at 60%. And from the circumstances I described, it's clear that service share slightly grew from 38% to 40%. So backlog quarter-on-quarter decreased by 3%. That's clear. If you look on the long run, it's still on a rather high level. Also here, the total picture is clearly driven by Pulp & Paper, where the backlog significantly dropped, stayed stable in Metals, and it increased in Hydropower and Environment & Energy. So I believe these are, for sure, the 2 areas that will keep the volumes up also in the next quarters to come. So as I told before, earnings development is quite stable. We are at EUR 507 million EBITA, 8.4% margin on a reported basis, and basically the same, EUR 510 million on a comparable basis. It's stable. I think it's -- we are quite happy that in these difficult market conditions, we can keep the margin stable and take also the necessary activities to adjust our capacities to the lower demand we see in the market. On the ESG, I would say we are on track with our targets. In some -- majority of the -- of our KPIs, we already achieved or overachieved our 2025 targets. What stands out on the negative side is our accident frequency rate, where we could see -- where we have targeted 30% improvement for every year. We only -- basically, year-to-date 9, we only have a very, very small improvement there. We understood by beginning of this year that our programs were probably not strong and not effective enough. We started several new initiatives. And now we see -- over the year, we see -- we already can see a good trend. So we are quite positive that we can get back on track also in our health and safety activities. Everything else, I think, is going on normal. And then I would like to hand over to Norbert, who will guide you through the financial performance in more detail.
Norbert Nettesheim: Yes. Thank you, Joachim. Good morning to all on the call. As always, I'll quickly go through the group financials, P&L, cash flow, liquidity and then new KPI, return on capital employed -- on invested capital, what we have included in the slide deck. You see here the normal picture, I would say there is nothing really spectacular to report. EUR 507 million, Joachim mentioned, a little bit up, 8.4% after 8.2% last year Q3 -- end of Q3. Depreciation is still also unspectacular. Normal depreciation out of our investments leads to 10.5% EBITDA. On the left, also 0.3% better than end of Q3 last year. The IFRS amortization is also unchanged. The regular investments on our -- regular depreciations on the things we have leads to an EBIT of 7.8%, also 0.2% better. And now comes the only maybe mentionable element of this P&L logic, the financial results are down compared to last year. This is not driven by the interest and the investment situation. It's due to the fact that we have this interest result, a loan, which we had to do with one of our companies internally, which we deconsolidated, and this loan then came back to the balance sheet, and we had to devaluate. It's an effect of about EUR 22 million, which is included in the financial results. If you take that out, the favorable development in the other part of the financial result is continuing, but you have to consider this EUR 22 million current year as a special effect in the financial result. It leads then to 7.6% EBT margin, the same as last year. And the taxes are a little bit better this year than last year because we had, last year, some onetime effects from tax audits in U.S.A. and Austria, which brought this tax ratio last year a little bit up. And now we are at 25.6%. It helps us a little bit in maintaining the net income margin, which is at 5.7% after 5.6% last year. Absolute numbers, as already mentioned, a little bit lower due to the fact that sales is a little bit lower. What you do not see on this slide is a negative OCI coming from foreign exchange rate effects. Brazilian real, up. Renminbi, up. Yen, up. This all leads to a devaluation of our foreign equity and to a negative effect in OCI. But in total, this is the normal fluctuation, which is -- which comes like it comes. With this effect, total equity is then maintained. You see it in the papers we distributed, and total equity portion is 27.4%. So all numbers, which I have not on the slides, but I regularly mention them. You see them in the handouts. From my point of view, very, very stable equity and result situation and numbers further on. So that's it on P&L and on total income and on equity. Here you see the cash side of our operations. Also nothing special compared to the previous quarters. The working capital effect is now, after 9 months, minus EUR 140 million. So there was another increase in net working capital in Q3, which stored us a little bit of cash. But as I always say, normal cycle of doing businesses. Overall, EUR 404 million cash flow from operating activities, significantly increased compared to last year, where we had this high burden from the very steep increase in working capital, which is, this year, not that dramatic anymore. So EUR 404 million operating cash flow. And when you deduct the CapEx, it's EUR 247 million free cash flow. Below the cash conversion of 1, which is our target. But it's, as I said, driven by this normal cycle in working capital. On the next page, you see the quarterly numbers for cash flow, EUR 96 million in Q3. And in total, this fluctuation you are known of now since several quarters. In the average view, we are pretty stable, continuing to develop above EUR 500 million cash flow per year. So that's it on cash flow. Cash flow results then on the bank account. Next page, please. So a net liquidity of EUR 815 million and a gross liquidity of EUR 1.347 billion. If you see the differences to end of last year, EUR 450 million less gross liquidity, which is, let's say, driven by the net liquidity change plus the repayment of the loans, which I mentioned also several times in total this year, EUR 335 million paid back. And then this in addition to the EUR 105 million decrease in net liquidity out of dividend payment, CapEx, operating cash flow. Overall, still very stable. And for the third quarter, we -- for the fourth quarter, we also expect no major changes in this picture. So that's it on the cash situation. Next page, please. Here, we have added now a new metric. We introduced it now in Q3 so that you get used to it in advance to the year-end reporting. We report in future return on invested capital. The calculation is described in the footnote below [indiscernible]. And this is a common definition as you all use it in the capital market and in the analysts, what you are doing. It's more or less total assets plus working capital, plus minimum cash of 5% of sales, plus intangibles and goodwill. And then we put this in relation to our return after the operating return after taxes. And if you see here, let's say, after the increase -- steady increase from '19 to '23, we are now, let's say, stable above the 22%. With a WACC of 9% means 30% value creation with our invested capital. And a quick one to the capital employed. You see that we are paying back our loans and that we are going to invest organically. Also you will hear certainly something in future on external growth. And we pay back -- we buy back some of our shares. So we are also working on this, the better utilization of the capital we have available. So that's it, more or less, on the big numbers. Here, you see the summary. I also don't want to steal times going through all this once again. I simply want to point out, first time a quarter with increased order intake, 6% more than Q3 last year. It's EUR 1.9 billion. We are on a good quarter level story as in the previous quarters, Joachim mentioned it. Big orders are still missing. That's driving the backlog a little bit down. Sales pretty stable, service portion increasing. And this leads to a comparable EBITA of 8.9%, which is, in these times, certainly something which we don't need to hide and where we are still doing a positive and a good job. We also started to concentrate more on cost management, seeing that the volume is where it is. So our commitment to stable margin has been given. And I'm sure that we can deliver this also for the full year. So that's it from my side. Thank you for listening, and I pass back to Joachim.
Joachim Schönbeck: Thank you very much, Norbert. So quick update on the business areas. We start with Pulp & Paper. We see order intake low, already reported on that. So our customers definitely are in a difficult situation. Utilization of the assets is rather low. However, we could see there is a major investments -- has been announced. And so we believe that the next cycle of larger investments into pulp assets will come. And from that point of view, we are quite positive looking into '25. For sure, we never know whether the announcement will materialize into orders. But for sure, there is at least the intention. And as you know, pulping business is a long-term business where you need to -- to provide for wood, you need to get plantations. And once they are up -- then you also need to use them. So I would say there is a certain cycle, and we are sure investments will be made. Last quarter, maybe interesting for you to know, it was on the same weekend in September where we started up the new large pulp mill for Suzano Cerrado in Brazil, and at the same weekend, we started up a large pulp mill for our customer Liansheng in China. So that was really, I would say, first time we had to provide 2 teams independently to get that up and running. Both start-ups have been particularly good and steadily overachieving the start-up curve that has been planned by the customers. As I said, order intake revenue dropping quite substantially, earnings quite stable from the improved mix. We could improve the EBITA margins. However, we also had to accommodate here for some capacity adjustments that were needed on the -- you see the revenue split is now almost 50-50, service and capital, but unfortunately not due to the growth of service but to the decrease in capital business. If we move on to Metals, we see -- on the order intake, we see first 3 quarters, we see a drop, almost 20%. This quarter was quite good. Two several large orders could be booked in Metals Processing as well as in Metals Forming. However, we are cautious on the outlook in these markets. You read the papers, and you see that many question marks are on the -- where the automotive industry is moving to. This is particularly true for the European automotive industry. It's good that we have -- that we managed to also establish business relationship with the -- in the electromobility and also in China with the new players there. However, business definitely will change. This is why we had to announce another major restructuring round at Schuler as we believe that the changes in the industry will be more fundamental and not a timely event and everything will come back to normal. I would say, over the total, what we have now reduced or we will reduce capacity in Schuler by about 700 to 800 people. Part of that has already been executed this year. Part will be done in this quarter, respectively, in the first quarter of next year. We believe we have then also a structure there where we can see the lower markets to come very well adjusted. On the operational side, you can see on the comparable EBITA margin, we made good improvements on the margin. So I would say, operationally, we are moving in the right direction. This is true for Schuler as well as for the Metals Processing area. And we have good hopes that we will move these businesses into the target margins that we have communicated to you. If we look to the revenue split, capital and service, you see it was 26%. That is quite low. We have a good installed base, and we will use now the time and the resources from the lower businesses in capital to get our foothold on the service business a bit stronger. Looking into Hydropower, you see -- even though you see a decline for the first 3 quarters, both in order intake and revenue, we view the market still very positive. A lot of project activities is going on. The order intake is definitely driven by the large order in Luang Prabang that we had booked in the second quarter of last year. In general, many projects are out there, and the revenue decline is more project related. You see backlog is increasing, and we are also quite confident we have a good fourth quarter and quite an optimistic view on the '25. Profitability is also moving slightly but steadily up. We are phasing out some of these legacy projects, which had significant cost overruns from the recent crises that we faced starting with COVID and going over to the war in Ukraine. So we are phasing that out and also have a belief that we are moving Hydro business to the guided profitability. Looking into Environment & Energy, I mean, it's a very positive development in that business area. Strong growth in order intake and in revenue for the first 3 quarters. I would say the market interest is high. We have -- we're doing -- we have to do a lot of work as many customers are interested in these new technologies to enable their own green transition. However, order bookings were a bit behind our expectation as the -- in many countries, the political uncertainty and also the subsidy schemes are not as clear and not as straightforward as the investors would like that. So we see a bit of delay there. However, we do not see that this is a fundamental change. But everything in this area will definitely go a bit slower than we thought 1 or 2 years ago. The EBITA margin is with 11%. Still on a very good level. It dropped a bit due to the investments we have to do to build up these new business areas, new technology, some of the investments that are needed. I would say, overall, we look into quite a good market situation there. We are having a lot of activities running to also get the service business also for these new technologies up and running. So looking for the outlook, as I said, market, I think, I talked enough about that. If you go to the next page, please, Matthias, that would be good. The guidance is -- has been slightly adjusted. It was, I would say, a rather close call. But I mean, you see the figures. You see our revenue down basically in each quarter compared to last year with the low order intake. So probability is rather low that we can recover out of that in the fourth quarter. So we believe that we better guide you to slightly decreasing. However, profitability will remain stable. Group targets remain unchanged on the long run for '26. We see on the margin side, on the M&A and the ESG targets, we are quite confident. On the revenue side, we definitely need also to see an improvement on the market. So thank you very much. Any questions?
Matthias Pfeifenberger: Okay. Great. Thanks a lot, Dr. Schönbeck, for the elaborations. We'll now start the Q&A session. Make sure you are registered with your full name, and I pass over to the moderator. Thank you.
Operator: [Operator Instructions] And the first question comes from Sven Weier from UBS.
Sven Weier: Yes. The first one, Dr. Schönbeck, I really wanted to follow up on the guidance change because I really wondered what the difference is between stable and slightly down because I would guess, even stable might include a small variation. So means slightly down that this could be up to 5%. I just want to get the difference right here between those 2 statements. That's the first one.
Joachim Schönbeck: Sorry, I was not muted. Yes. So this is not a hard science, yes. We would say stable definitely is anything within 1% or 2% variation. We have been now consistently 3%, which I would say would be a good guidance for the -- also for the remaining year. We do not expect to drop below that.
Sven Weier: The second question is just coming back on what you said on -- obviously, we see more greenfield activity with Arauco having gone ahead. I was just wondering, I mean, assuming that Paracel would now finally go ahead in the next 6 months, let's say, I was just wondering how much out of the $1.5 billion you could generate approximately still as a revenue in 2025? Any rule of thumb how much, percentage-wise, you typically have in year 1?
Joachim Schönbeck: I would say we -- if Paracel moves ahead as announced, we expect full notice to proceed by mid of next year. So for next year, the revenue from Paracel would be, I would say, rather low. It would be 6 months in that's basically some engineering and some -- and of course, some civil works that starts early.
Sven Weier: Okay. And how should we think about the other ones? I think there are another 3 greenfield projects available. I mean maybe some of these still go ahead also in the next 12 months. I mean, I assume we can do 2 projects at a time, maybe with a slight delay. Is that fair?
Joachim Schönbeck: Historically, I would say 2 years ago, 2 to 3 projects of this size in parallel, we can do, yes, for sure. At least we have proven that in the past, and I don't think we will fall behind that.
Sven Weier: Last question I have, if I may, just obviously, there was a nice order intake in Metals Processing in Q3. I do remember that Metals Processing orders had some issues in the last couple of years in terms of margin pricing and so forth. I mean how happy are you with the quality of these orders margin-wise?
Joachim Schönbeck: Very happy. We have done our homeworks there. I would say we -- a good part of the low results we had were basically by our own -- were in our own hands. And we have taken the necessary measures on management and processes, and we are now progressing on order execution much more stable. We learned a lot from the colleagues in Pulp & Paper.
Operator: And the next question comes from Akash Gupta from JPMorgan.
Akash Gupta: Yes. I have got a few as well, and I'll ask one at a time. My first question is on your market development commentary on the slides, where you say project activity is picking up but no quick recovery in markets expected. Are you trying to say that you see some pickup in activity, but because you have higher lead times between orders and revenues, and therefore, the benefit to revenues will take some time, and there wouldn't be any quick recovery? Like just trying to understand what was the reason behind picking up in activity but then no quick recovery. That's the first one.
Joachim Schönbeck: Yes. Thank you. It requires definitely some clarification. So we see on the, I would say, on the Pulp & Paper side, there are a few projects announced. So we see market activity. However, I would say in the last 18 months, we also learned that the way from market activity and project activity to purchase order is longer than it was in the previous years. And this definitely has to do with macroeconomic environment that is not completely in our hands. So we have been a bit more cautious there. But the message is that there is still a strong interest from the industry in the solutions that we are offering, and that's especially true for environment and industry. But also here, project activity and firm bookings is not the same. And what we see, especially in Environment & Energy is that we receive a lot of FEED studies and engineering orders, where -- which is usually already a financial commitment. And going that route, we also estimate that it will not be a quick recovery. And the way to large orders is probably longer than we were used to it for the past 5 years.
Akash Gupta: And then my second one is on restructuring and like the below the line items. So like when we look at Q1, Q2, Q3, you had EUR 2 million in Q1, EUR 6 million in Q2 and then EUR 8 million in Q3. So it looks like you're spending more money in addressing your cost base with the decline in orders that we have seen. I want to get your thoughts that given that you're addressing your cost base through these restructuring actions, can we see that as an indicator for next year revenues that maybe next year revenues' growth could be more limited or could decline given the orders' run rate, and this is why you are proactively addressing cost base? So just wanted to get your thoughts between these increased restructuring charges and how shall we reconcile with expectations for 2025.
Joachim Schönbeck: Yes. So the next year's revenue is definitely driven by this year's order intake. And from that point of view, we have -- we will see -- we do not expect a strong growth in revenue. And we have several challenges across regions and industries. The large pulp projects are phasing out, so we need to adjust capacity there. And on the automotive side, we see a structural change in that industry. And we believe that with the capacity allocations we have regionally, this will not be the right concept for the future, and this is why we go into this new restructuring round in Schuler. It's -- take it as a sign of precaution because we, for sure, want to protect the profitability of ANDRITZ.
Akash Gupta: And my last one is on Environment & Energy. I mean you talked about margins kind of impacted by the investments that you are making in new business. Can you provide some color on underlying profitability? So if we split out these businesses that are causing investments because you have limited revenues and buildup of costs, how does the profitability in the other businesses or the -- or what you had before compares? Is it stable? Is it improving? Or is it also under some pressure?
Joachim Schönbeck: It's at least stable, and it's not -- definitely not under pressure.
Operator: And the next question comes from Daniel Lion from Erste Group.
Daniel Lion: I would like to ask you about your services business development as you expected in Pulp & Paper. We've actually seen this year that a lot of maintenance has been brought forward as capacities were closed for some time given the current demand situation. Would you expect this to have some material adverse impact on services demand for next year in Pulp & Paper, so potentially that we see slower services growth or maybe even a declining services demand for a couple of quarters?
Joachim Schönbeck: No, we definitely do not see that. We had -- I would say, the pressure on the service business definitely comes from the shutdown of certain assets because of market weakness. That is particularly true for the paper and board area. So at least in Europe, many operations were slowed down or completely stopped. And that means we have less spare parts, and that's where the pressure on the service business is. On the other side, we had a very strong capital business on the pulp side over the cycle of the last 4 to 6 years. And now these assets are now in full swing, going out of warranty, and so we believe that we will definitely get a tailwind through this. So I do -- we do not expect pressure on the service side in 2025.
Daniel Lion: Okay. And I would like to have -- dig into a little bit on the automotive demand situation. As you mentioned, order intake really surprisingly strong in the quarter. And you also said that, obviously, European customers currently seeing the weakness, especially Germany. What is actually your current exposure when we look at the automotive business from a regional perspective? And how do you expect to see this -- maybe the stronger regions to compensate for the weaker ones in the short, medium term?
Joachim Schönbeck: Yes. I mean we -- our weak spot here is Germany. We are very much dependent on the German OEMs with our German operations. From what you read in the newspaper, my hope for large orders is very low, so this is what we have to prepare ourselves for. Our market share with the German OEMs is extremely high on the press lines. I think there are very good press lines, no doubt about that. But there will be not many investments. There will be needs for modern changes. So we are optimistic on the service business that we can grow further there because when you're using the assets, you either have to reinvest 1 day or the other or you have to spend more on service, and we prepare ourselves for that. Fortunately, we are growing strong in the press market in China, which is very good. But also there, I would say the macroeconomic environment in China is not really bright. We have -- we are in a good situation that we are still continuously growing our Chinese press business. But also here, we don't know, and we cannot -- on the long run, we cannot decouple ourselves from the general economic environment in China. So this is why -- what we prepare ourselves for, and I think that is the right thing to do.
Operator: [Operator Instructions] And the next question comes from Peter Rothenaicher from Baader Bank AG.
Peter Rothenaicher: I would like to continue with Schuler. So you mentioned the restructuring, the decrease in the number of employees by 700 to 800. You mentioned also part has been done. So I'm positively surprised that the one-offs for Schuler were not that high. So what do you expect here on ongoing one-off charges for restructuring in Q4 and then going into 2025?
Joachim Schönbeck: What we know and what we see, we have accounted for that. These are the rules. And Norbert is a strong and diligent CFO. He would not allow anything else. And whenever we see more, we need to book, and when we can release, we can release that. So I would say we are in this restructuring business long enough to do that. And we do not expect surprises that would derail our business here.
Peter Rothenaicher: Okay. But you can confirm you have done already a major part of this restructuring?
Joachim Schönbeck: Yes. I can confirm that.
Peter Rothenaicher: Yes. So I was also positively surprised about your statements regarding the progress in the profitability of Metals and also at Schuler, and you are still confident to move into the target range of profitability. What makes you so confident regarding the margin at Schuler given the weakness of the market? And typically, with the market weakness, also pricing for new orders is typically not that good.
Joachim Schönbeck: Yes, we have to -- I mean we are definitely working with the restructuring. We are working on our cost base. As I said, we have a very well, nicely developing business in China. We have also own manufacturing assets in China with a very competitive cost base. And we have a potential on the service side. I mentioned to you that, at the moment, we are running at about 25%, 27% of the revenue in service. With the installed base we have, there is more potential, and we have started several initiatives. And this is why I believe that we can -- that we will move towards these profitability targets. They are not unrealistic. And these targets is -- this is not -- I would say, they are not astronomically high.
Peter Rothenaicher: A technical question. If I look at order backlog, so it has been down versus the previous quarter by more than EUR 300 million, while the difference between order intake and sales in the third quarter was only EUR 100 million. Has there been some booking out of orders in the backlog?
Joachim Schönbeck: Not that I'm aware of, but I have to ask Norbert.
Norbert Nettesheim: No, there's, first of all, also currency exchange rate effects in order backlog. And we have Brazilian backlog. This translates into, let's say, lower euro backlog as it was in previous periods. So there are some exchange rate effects, and there are no major -- there are no corrections in order backlog by taking projects out. And then another thing is if there is a value change in an old older, this also goes into backlog. So if there's a slight adjustment, for example, if the customer claims to have EUR 3 million less to pay whatever, then it's also going into backlog. But these are minor and not-to-be-mentioned topics.
Peter Rothenaicher: Regarding the hydrogen business. You announced an engineering order for hydrogen. Can you comment on the overall environment? What do you expect here to come up? I know there are some uncertainties about subsidies and projects going -- by customers. But can you comment here on the situation?
Joachim Schönbeck: I think you have perfectly described it. Interest, a lot of planning, many industries move to green hydrogen. Many projects have been started that require, on the long run, green hydrogen. So I would say, fundamentally, there will be investments made. And we believe that having locked in with engineering orders definitely puts us in a good position also for executing then the project. But we need to be -- yes, we need to be patient a bit as we cannot create the market.
Peter Rothenaicher: And the last point is on wage increases and price increases. On the other hand, you mentioned you were successful also in increasing prices. Are you confident that this is still possible also in the upcoming quarters? And will you therefore be able to compensate for the wage increases?
Joachim Schönbeck: I'm not -- as the markets are not recovering soon, the pricing pressure is definitely -- will definitely increase. So it will be definitely more difficult for the upcoming 2 quarters to realize the price increases than it has been in the beginning of the year. But we will try for that because we cannot -- with the wage increases that have been agreed in major European countries, we cannot recover from productivity increases. That's for sure.
Matthias Pfeifenberger: Okay. Thanks a lot. I think this concludes our earnings call right on time, and I'd like to thank you for your interest in ANDRITZ and hand over to Dr. Schönbeck for a last time for his concluding remarks. Many thanks.
Matthias Pfeifenberger: Yes. Thank you very much, Matthias. Thank you all for attending. I think you see we believe we are -- we have the right solutions in the right markets. Markets are a bit slow. However, fundamentally, they will come. We are doing our own work to adjust our capacities to protect the profitability, so that's -- I would say we are in good mood looking forward. Thank you very much.